Operator: Good day, and thank you for standing by. Welcome to the Endeavour Mining's Fourth Quarter and Full-Year 2022 Results Webcast. Please note, management's presentation today will be in a video format here on our webcast platform. After management's presentation, there will be an audio-only question-and-answer session. So, for those who wish to ask a question please dial in to the conference call. Please note, due to the time constraints we will be prioritizing questions from covering analysts. Today's conference call is being recorded, and the transcript of the call will be available on Endeavour's Web site tomorrow. I would now like to hand the call over Endeavour's Deputy CFO and Head of Investor Relations, Martino De Ciccio.
Martino De Ciccio: Hello, everyone, and welcome to Endeavour's Q4 and full-year 2022 results webcast. Before we start please note the usual disclaimer. In addition to the press release and financials, please note that the data center on our Web site is a great source of information for unit costs, historical financials, reserves and resources, ESG data, and much more. On today's webcast, I will be joined by Sebastien, Mark, Joanna and Jono. Sebastien will start with a recap of our key accomplishments for 2022 and he will then hand it over to Joanna to talk you through our financial results. Mark will then walk you through the detailed operational results mine-by-mine, before Sebastien gives his concluding remarks. At the end, we'll be available for questions. I will now hand it over to Sebastien.
Sebastien De Montessus: Thank you, Martino, and hello everyone. 2022 was another very successful year for Endeavour, and of course it was another very busy year. We are extremely proud of what we have accomplished as we delivered against our strategic objectives despite the changes in the macro and geopolitical environment. To summarize the year, one of our proudest achievements was meeting guidance for the 10th year in a row. Given this strong operational performance and our healthy balance sheet, we were able to launch the Sabodala-Massawa brownfield expansion and construction of our next mine, the greenfield Lafigué project which will further increase the quality of our portfolio. We also continued our strategy of actively managing our portfolio by divesting our non-core Karma mine. On the exploration front, late last year, we were excited to announce a maiden 3 million ounce discovery Tanda-Iguela property, in Côte d'Ivoire, which has the potential to be a tier 1 asset. We were also pleased to see our ESG strategy continue to progress with five new initiatives launched by our Endeavour Foundation, successful compliance with the World Gold Council's Responsible Gold Mining Principles at our Ity and Houndé mines, and sector-leading ratings from several rating agencies. And lastly, it was nice the see our U.K. listing gain in momentum with higher liquidity following our inclusion into the FTSE 100. So, as we look back at '22, we can say with confidence that our business has performed well. If we take a closer look at our operating performance last year, in terms of production, we produced 1.4 million ounces, achieving the top end of our guided range thanks to strong performances from our cornerstone assets. Meanwhile, our all-in sustaining cost amounted to $928 per ounce, which was within the guided range despite the inflationary pressures that the sector faced. We've of course not been totally immune to these pressures, but we've benefited from the pricing mechanisms which come from our long-term supply contracts, from favorable exchange rate variations, and cost optimization initiatives across our portfolio. As such, we've been able to maintain our position as one of the lowest-cost producers in the sector, and are pleased to be one of the only companies to have met initial cost guidance. Our low cost positioning is definitely a strong competitive advantage, and we are pleased that the hard work to reposition our portfolio over recent years is now paying off. As you recall, our goal has been and continues to be to create a resilient business, one that is capable of generating sufficient cash flow to reinvest into the business, fund growth and exploration, while at the same time rewarding all of our stakeholders. And of course, having a low cost base is key to achieving this. Last year, our strong operating performance generated over $1 billion in operating cash flow, which in turn has allowed us to reinvest $379 million in our mines in the form of sustaining and non-sustaining capital. We also increased our focus on growth by investing $127 million for the Sabodala-Massawa expansion and our Lafigué greenfield project. Given that exploration has been our bread and butter to create value, we maintain our focus with an $80 million exploration program. To our shareholders, we've also returned $300 million, which is double our minimum commitment for the year, demonstrating our commitment to delivering supplemental returns. At the same time, we continue to reward all our stakeholders and returned $400 million to our host governments through taxes, royalties, minority interest divided which is, of course, included in the $1 billion operating cash flow figure mentioned earlier. Finally, we continued to strengthen our balance sheet, ending the year with a net cash position of $121 million which represents an increase of roughly $45 million year-on-year. But let me now elaborate on some of the capital allocation priorities just mentioned, starting with our two organic growth project, the Sabodala-Massawa expansion and the Lafigué development project. During 2023, we expect to invest $400 million across the two projects, with $170 million on the expansion of our flagship Sabodala-Massawa project, and $230 million on our Lafigué project. At Sabodala-Massawa, we launched the expansion in Q2, last year, after completing the DFS which defined a higher return low cost expansion by building a 1.2 million tonnes per annum by BIOX plant to treat the high-grade refractory ore at Massawa. Once this expansion is completed the mine will be capable of producing in excess of 400,000 ounces per year, and will rank as a tier 1 asset in West Africa. The expansion is progressing well with 55% of the capital committed. Importantly, costs are in line with expectations, and we are on track for the first production from the expansion project in Q2, next year. Late last year, after being able to demonstrate that our operating performance was on track, that our balance sheet was strong, and that the Sabodala-Massawa expansion was de-risked, we were pleased to launch the construction of Lafigué. It is going to be another Endeavour cornerstone asset with production of at least 200,000 ounces a year, with all-in sustaining cost below $900 per ounce over a plus-10 year mine life. Construction activities have ramped up fairly quickly, as you can see. And we are on track for first production in Q3, next year. I will let Mark walk you through a more detailed update later on for both projects. Another important contributor to our growth has been and continues to be our exploration success, which has led to the discovery of 15 million ounces since 2016. In 2022, we discovered 3 million ounces of M&I resources, with significant discoveries at our flagship assets, as well as the major Tanda-Iguela greenfield discovery. Given the success of the '22 exploration program, we are pleased to reiterate that we are on track to achieve our target of discovering 15 million to 20 million ounces of M&I resources at a discovery cost of less than $25 per ounce for the five-year period ending 2025. As you can see on the chart with the shaded area, we've discovered 6.5 million ounces of M&I resources or 40% of our five-year target in the last two years, with most of the success coming from our flagship assets and greenfield properties. Looking ahead, we have committed a further $70 million to the 2023 exploration program, and we will continue to focus at our mines to extend their lives. While dedicating significant efforts toward greenfield exploration opportunities, with Tanda-Iguela being the priority. Tanda-Iguela is a good example of the opportunity in West Africa, and our ability to unlock it. At this time last year, we were just getting the initial grid results. And given what we saw, we quickly prioritized the property, leveraging our shared technical services in the region. We progressively increased the program to over 60,000 meters of drilling. This agility coupled with our large presence and size in the region gives us a strong competitive advantage. So far we have 1.1 million ounces in the indicated category, and another 1.9 million ounces of inferred, all achieved in less than 15 months at a cost of less than $10 per ounce. And we see huge potential for this property and believe it has the potential to be a tier 1 asset. In 2023, we plan to drill more than last year, with a 70,000 meter drill program, plan to delineate the mineralised trend and test new targets as we see several nearby targets that are geologically similar to the Assafou deposit. I would like to take this opportunity to thank Patrick Bouisset, who retired as EVP Exploration and Growth at the end of the year, for all of his work over the last seven years helping to build Endeavour's portfolio and generate an exciting pipeline of growth opportunities for Jono and his team to advance. We're also very happy that Patrick will be joining the Board, in May, subject to approval at the upcoming AGM, to continue providing guidance and support to the team. Another important capital allocation priority is our shareholder returns program. Last year, we delivered nearly $300 million of dividends and share buybacks, which was double our minimum dividend commitment of $150 million for the year. This reiterates our commitment to paying supplemental shareholder returns, particularly in this strong gold price environment. To put this into context, it means that $212 per ounce produced was returned to shareholders. Or, to put it in another way, 12% of our revenue was distributed to shareholders. It corresponds to nearly 30% of our operating cash flow and two-third of our adjusted earnings. It also means that we return an attractive indicative yield of 5.8% for the full-year. What is impressive is that on a cumulative basis, our shareholder returns program has delivered nearly $640 million since we paid our first dividend in Q1 of 2021. It means we returned approximately 13% of our market cap over the last two years. Another way to look at it is that we delivered significantly more than the capital required to build a new mine. So, looking ahead for 2023, we expect also to supplement our minimum dividend commitment of $175 million with additional dividend and buybacks. And looking even further out once we finish our current two builds by mid next year, we then expect to refocus on further strengthening our balance sheet and increasing our shareholder returns before launching any new build. On a similar theme in order to minimize shareholder dilution, in February of this year we settled our convertible note through a combination of $330 million in cash for the principal amount and with 835,000 shares worth $20 million, an equivalent to 0.3% of shares outstanding for the in the money option value. The convert ended up being a low-cost financing solution which had a 3% coupon and an implicit cost of capital of 4.1% over the life of the notes once incorporating the value of the in the money option. Thanks to our strong cash flow generation and disciplined capital allocation, we improved our balance sheet position during the year, ending with a net cash position of $121 million. And we expect to maintain low leverage throughout our current construction phase. Before handing it over to Joanna just a quick word on our ongoing sustainability initiatives, we have mentioned many times that mining has the potential to be one of the most impactful industries in contributing to improvements in living standards particularly in West Africa. A great example of this is our Endeavour Foundation which we established in 2021 to implement a range of sustainability projects at regional, national, and cross-border level. This past year, we have launched five initiatives across education, health, and the environment. In Côte d'Ivoire, we are providing literacy classes to 500 community members around Lafigué, and training 150 youths in key vocational skills to improve their accessibility to employment. In Burkina Faso, we signed a three-year partnership with five universities which will benefit 60 students a year and support the continuing development of the mining industry with much needed skilled professionals. Malaria, as you know, is a health priority for Endeavour. Working with the Burkinabé Ministry of Health, we have launched a pilot program called One Village Without Malaria where we hope through dedicated efforts and education, we can eradicate Malaria cases for the whole community by the end of 2023. And our last project is supporting the great green world which aims to slowdown the advance of the desert that has been accelerated by climate change through the construction of a green belt from Dakar to Djibouti. We are doing our bit and financing the reforestation of more than 100 hectares a year in the eastern part of Senegal. These education and house projects are carried out in partnership with global experts and local authorities. And will deliver a significant change in people's lives, offering them opportunities that weren't there before. I will now hand over to Joanna to walk you through our financial results. But before I do, I would like also to take this opportunity to thank Joanna who will be leaving us next week and will be replaced by Guy Young. On behalf of everyone at Endeavour, we wish you all the best in your future.
Joanna Pearson: Thank you, Sebastien. It has been a privilege to contribute to Endeavour's success. Starting with our quarterly production, you can see that it has increased by 3% in Q4 over Q3 while our all-in sustaining cost was relatively stable with Q3, changing by 1%. What is more interesting on this chart as you can see is the consistency of our performance across the quarters over the past year despite seasonality linked to the wet season which really highlights the benefit of a more diversified portfolio and our operating experience. With respect to the full-year, we achieved our guidance range on both production and all-in sustaining costs. Production from continuing operations decreased by 3%, due to lower production at Boungou, Mana, and Wahgnion, as a result of mining and processing of lower grade ore. Our all-in sustaining cost increased by 5% compared to the prior year. Mainly due to increases in all-in sustaining cost at Boungou and Wahgnion while inflationary pressures across the group were partially offset by favorable foreign exchange movements as the euro declined against the dollar. While we are engaged in construction of our two growth projects, our revenue protection program is providing increased cash flow visibility which allows us to continue investing in our operations, growth, exploration, and paying shareholder returns while still maintaining a robust balance sheet. In addition to the collars in forward sales we have in place for 2022 and '23, we have added additional collars in forward sales for 2024 as we finalize construction of our two development projects which are expected to start in Q2 and Q3 '24 respectively. During 2022, we realized gains of $20 million on our forward sales in collars. And for '23 and '24, we have locked-in average prices of $1,828 and $2,033 per ounce respectively on the forward sales contracts. The collars have floor prices of $1,750 and $1,807 per ounce respectively, ensuring that we generate healthy margins from those protected ounces. Our operating cash flow before working capital from continuing operations increased 44% in the fourth quarter as income taxes paid were significantly lower following withholding tax payments in the third quarter. This was associated with upstreaming cash to increase our offshore cash to settle the convertible notes, which we did in February. In addition, we saw higher production, lower cost, and the higher gold prices which contributed to our higher operating cash flows in the quarter. Here, you can see a bridge of quarter-on-quarter operating cash flows. The realized gold price including the impact of the gold collars on forwards increased by $21 per ounce in the fourth quarter as gold sold increased by 14,000 ounces compared to the third quarter. Operating expenses and other items increased by $8 million compared to Q3 due to the impact of higher fuel prices and consumables-impacted costs. Income taxes paid decreased by $49 million compared to the third quarter largely due to the withholding taxes associated with upstreaming cash in the prior period. In addition, the quarter's operating cash flows benefited from an $83 million change in working capital due to an increase in trade and other payables related to the timing of supplier and other payments. As such, the quarter-on-quarter operating cash flow increased by $157 million to $311 million for the quarter. For the full-year, operating cash flow before working capital from continuing operations amounted to $1.1 billion. This was slightly lower than the prior year due to slightly lower production and higher cost which was offset by the higher realized gold price. We continued to grow on our cash position year-on-year as you can see from this net cash bridge. We ended the year with $121 million of net cash. Full-year operating activities generated $1 billion which we allocated to investing, and our operations and growth as well as increasing our shareholder returns. Cash used in investing activities amounted to $521 million and included approximately $380 million in sustaining and non-sustaining capital expenditures. And $122 million in growth capital cash flow primarily related to our two organic growth projects. Cash used in financing activities included $269 million in paid shareholder returns, $57 million in dividends to minority interests, and $47 million in payments of financing fees. Finally, the value of our cash held in Euros and CFA decreased during the year due to the strengthening of the U.S. dollar, which resulted in a $71 million decrease in our net cash. At year-end, we had a robust net cash position of $121 million and our liquidity remains strong with $951 million of cash on hand and $575 million undrawn on our upsized RCF. Adjusted net earnings increased 29% quarter-on-quarter to $93 million. I will not go through every line item in this table, but I will highlight the key items. Our earnings from mine operations was relatively consistent with the prior quarter, reflecting the stability of our operations even in a higher cost environment. We incurred an impairment charge, as shown, of $360 million, which includes $163 million allocated to Boungou and $197 million allocated to Wahgnion. The impairments follow updates to the life of mine plans, which reflect an updated evaluation of the reserve and resources, including exploration potential and higher operating costs at both mines, as well as increases to the discount rates used in the valuation. The loss on financial instruments in Q4 decreased from a gain of $60 million in Q3 to a loss of $10 million in the quarter, due primarily to unrealized losses on gold collars and forwards, offset slightly by the strengthening of the Euro relative to the U.S. dollar in the quarter. In determining our adjusted earnings, we adjusted the impairment charge, other expenses, the net loss on financial instruments, the net loss from discontinued operations, as well as other non-cash adjustments. Our adjusted net earnings amounted to $93 million, and our adjusted earnings per share amounted to $0.26 per share for the quarter, which marks a $0.04 increase over the third quarter. I'll now hand it over to Mark.
Mark Morcombe: Thank you, Joanna, and hello to everyone joining us today. Before I jump into mine-by-mine detail, I want to talk briefly about our safety performance. Whilst we have built-up a strong safety culture, we are always conscious that even one injury is one too many. Unfortunately, last year we had a fatal accident at our Ity mine, when a contractor passed away during a blasting incident. We extend our sincere sympathies and support to his family, colleagues and friends. The results of our investigation identified the need to review and update our site blasting evacuation procedures, which has been done and rolled out across the group with the aim of preventing similar incidents. We continue to prioritize safety with our zero harm target front and center, and as you can see, we have a sector leading lost time injury frequency rate, which we are continuously working to improve through numerous training initiatives. I've just returned from a month-long trip across West Africa visiting all of our mines, and I continue to be impressed with the levels of commitment and motivation, I'm seeing from our operating teams, as well as the positive impact that several of our optimization initiatives are starting to have. I'm pleased to report that the team is approaching 2023 with the same levels of motivation and cost discipline that have helped us achieve such a strong 2022 performance. As Sebastien mentioned earlier, we have delivered very strong production and cost performance for the year, achieving the top end of production guidance within our all-in sustaining cost guidance. Here you can see a breakdown of our full-year performance by mine, outperformance at key Mines, including the Houndé, Ity and Mana mines reaffirmed our strong performance for the year and offset performance at the more challenging Boungou and Wahgnion mines. Our overall results demonstrate the value of having a diversified portfolio where we can balance performance across the assets and leverage the strength of our teams across the region to ensure that we can continue delivering against our key objectives. Before I go to the individual mines, I want to walk you through the year-on-year evolution of our reserves and resources. Overall, group reserves declined by 1 million ounces due to mining depletion and the lag in converting resources to reserves and modeling changes to incorporate higher operating costs while maintaining the gold price unchanged for our key assets. The group measured and indicated resources remained flat due to the 3 million ounces of discoveries made during the year, mainly at the Ity, Tanda-Iguela and Bantou Projects offset by mining depletion. Last year, given the long mine lives across our key assets, we took the opportunity to do more greenfield exploration and as a result, we made a large discovery at the Tanda-Iguela greenfield property, which will be a large focus for us this year in order to identify additional inferred resources and convert existing inferred resources to the indicated status. In addition, we will also focus on delineating further near mine resources on all of our assets. Moving on to our mine-by-mine performances, at our Flagship Sabodala-Massawa Mine, quarter four versus quarter three production rose significantly as we focused on mining and processing higher grade ore from the Massawa Central and North Zone pits. All-in sustaining costs also improved significantly during the quarter due to higher production and higher grade and lower processing unit costs due to lower maintenance costs and the 15% decrease in heavy fuel oil prices in Senegal in quarter four. Looking ahead to 2023 while we work on the expansion project, we will continue to look at opportunities to optimize the mine's performance. During the year, we will be finishing all mining at the Sabodala Pit in preparation for input tailings deposition. Another area where we are optimizing is predictive maintenance of mining equipment, where we have had lots of success recently, increasing our dump truck tire life by 35% over the last two years. The Sabodala-Massawa expansion project is progressing very well and will add around 200,000 ounces a year for the first five years of production at an industry leading all-in sustaining cost. We've now committed 55% of the initial capital and costs are in line with our expectations. As you can see, we have made significant progress since we launched construction in April last year. I'm pleased to report that we are well on track for our quarter two 2024 startup. Bulk earthworks are now complete and the civil works are progressing well, with foundations laid for the key crushing, milling and the BIOX reactors. Welding of the stainless steel BIOX reactors is progressing well. This year we are focused on constructing the balance of the processing plant, the power plant, the new TSF so that we can start ramping up BIOX reactors as soon as possible to give us a head start on processing. Moving on to the Houndé mine, I am particularly impressed with how the asset has matured in the past five years, resulting in record production last year due to both production occurring from the recent discoveries made and optimization efforts. For much of the year, we continued to source high volumes of high grade oxide ore from the Kari Pump pit, which along with incremental improvement initiatives in the plant helped us to process over 5 million tonnes per annum for the year, which is a new record for Houndé. These incremental changes were not made overnight. In fact, for the last five years we have been progressively optimizing the plant, adding a SAG mill feed optimization, upgrading the feeder and adding controls to choke feed the pebble crusher, which has driven progressive throughput improvements. We are not done yet and are working on plans to further optimize throughput, through low CapEx initiatives including looking at all sorting crusher speed, feeder spacing and adding an oxygen plant and preleach thickness. On to our next mine, Wahgnion where production decreased year-over-year due to lower grades at that Nogbele pit and came in slightly below production guidance and above cost guidance for the full-year. During quarter four last year, we started mining and processing ore from the higher grade Samavogo pits where reserve grades are over two grams per tonne, and we noted significant improvements in head grades in quarter four. In 2023, we will continue mining from Samavogo and blending with lower grade ore from the Nogbele pits, and in the second-half of the year we expect to start mining and processing ore from the Stinger pits, which have reserve grades over 1.6 grams per tonne. Samavogo and Stinger are expected to drive stronger year-on-year performance at Wahgnion, and in 2023, Wahgnion is expected to increase production at lower all-in sustaining costs. Wahgnion is a fairly new mine. In fact it is our youngest mine in our portfolio and it is comprised of a number of small pits. We are continuing to work on extending our orebody knowledge and advancing our grade control drilling programs to improve the scale of mine to drive higher production and lower costs. Now, we turn our attention to the Ity Mine where we achieved record production of 15% year-on-year production increase and beat both our production and cost guidance for 2022. The mine's outperformance was driven by stronger than expected plant performance coupled with mining and processing a higher proportion of high grade oxide ore as mining advanced into the Le Plaque pit. Looking ahead to 2023, it is expected to maintain similarly high performance as we increase our focus on delivering our optimization projects. These include the Resign Optimization Initiative, which is expected to be fully commissioned early in the second-half of 2023 and is expected to lower cyanide consumption, lower operating costs and improve recoveries. We are also advancing engineering work on the mineral size optimization initiative, which will allow oxide ore to be fed by a simpler system than the current arrangement, especially during the wet season, which will decrease operating costs. Moving on to the Boungou mine, production decreased year-on-year and came in slightly below guidance with cost above guidance as we process less ore at lower grade as supply chain delays impact the delivery of fuel and some reagents to the mine. Looking ahead to 2023, production is expected to be weighted towards the back half of the year as higher grade ore becomes available in the West Flank pit following stripping there in the first-half. Boungou is expected to maintain similar levels of production and cost in 2023. At the Mana mine, production beat the guided range while costs were in line with guidance. Strong production was driven by better than expected mining performance, particularly from the Wona open pit before it was depleted and the Siou and Wona underground deposit with production and development continues to advance well. At Wona, more than six parameters of lateral development have now been completed, which is quite the achievement from the team at Mana mine. As you can see from the images, the declines at Wona have progressed considerably and with open pit feeds expected to reduce towards the end of this year, we have commenced a third decline into the Wona deposit which will provide additional feed to the processing plant. In 2023, Mana ore will be mainly sourced from the Siou and Wona underground operations where stoke mining is expected to continue throughout the year, supplemented by ore from the Maoula open pit. As a result of the higher proportion of underground feed this year, we expect higher processing grades compared to the prior period with production and costs in line with the prior period. At our Greenfield Lafigué development project, we are building a four million tonne per annum capacity CIL plant, capable of annual production of over 200,000 ounces at a low all-in sustaining costs of below $900 per ounce throughout its initial 13 year mine life, the Lafigué project benefits from excellent infrastructure and it is located around 20 kilometers away from high voltage power lines and a tarred road. In addition, the resource is a single pit non-refractory orebody, where high gravity recoveries should sustain overall, metallurgical recoveries of around 95%. I am pleased to report that construction is progressing really well. We've now committed 34% of the capital and importantly costs are in line with our expectations. We are seeing good progress against our critical path. And as you can see, bulk earth works for the processing plant are now complete and earthworks for the TSF and water storage facilities are progressing well. Civil works, including concrete foundations at the crushing and milling and CIL facilities are progressing well and ring beams for the CIL tanks are largely complete. Looking forward, the processing plant, construction and power line construction are the key critical paths items that we are advancing for this year and we are on track for first production in quarter three, 2024. I will now hand back to Sebastien.
Sebastien De Montessus: Thank you, Mark. As you can see, 2022 was a successful year for Endeavour as we delivered against our key objectives and continued to build on our track record of strong operational performance, disciplined capital allocation, and attractive shareholder returns. Over the next 18 months, our efforts to unlock near-term growth through the completion of the expansion of Sabodala-Massawa and the build of Lafigué will further increase the quality of our portfolio, increase our production, lower our cost, and enable enhanced cash flow generation. This in turn will allow us to further increase our returns to all stakeholders on a sustainable basis. As always, I'd like to thank my team and all our employees for their continued hard work and dedication. Thank you for joining us. I will now hand back to the Operator for Q&A.
Operator: Thank you. Ladies and gentlemen, we'll now begin the question-and-answer session. [Operator Instructions] Now we're going to take our first question. And the first question comes from the line of Raj Ray from BMO. Your line is open, please ask your question.
Raj Ray: Thank you, Operator. Good afternoon, Sebastien and team. Look, 2022 was a solid year, 2023 is looking equally good. The market today seems to be focusing on the headline EPS number on the back of the impairment. So, I have a few questions on the impairments, Sebastien, if I may. One is, what's the remaining book value for the two assets that follows the impairment? And then, given that they have been declared non-core, you'd probably be looking at a divestment process at some point over the next 12 to 18 months, so if you can talk to whether the process already been started or you look to do that over the next year or so? And third, previously you would have run the same process for Karma. I just wondered if you can share some thoughts around interested parties for assets in the Burkina grade as well. Thank you.
Sebastien De Montessus: Sure, thanks, Raj, for this. I mean first point on share price at the opening, I think it was mainly in our [core funds] (ph) reacting immediately based on the net loss and a few headline numbers, but it's now recovering as you said. I mean, overall, the results are good results for '22. The outlook is pretty strong for '23. So, we're pretty happy with this set of numbers. In terms of impairment, we've adjusted down the book values to a combined value of about $600 million for Boungou and Wahgnion, about $275 million for Boungou, and $318 million for Wahgnion, which mainly reflects higher cost and more conservative long-term assumptions around those two assets. Part of the sense is that, and that's also what has been done in the resource reserve statement, for example. We're not any more a junior company or a small mid-tier company, we're getting into robust and large production, and therefore we want to ensure that our numbers are properly assessed. Overall, as you pointed out, those mines -- those impairments were done following updates to the life of mine plan. And as you know, our portfolio objectives have always been to build and maintain a portfolio with 10-year plus mine lives and below 900-950 all-in sustaining cost. So, I want all of our assets to sit in this magic box that I keep showing. And Boungou and Wahgnion are increasingly becoming non-core, so wouldn't be surprised that, over the next 18 months, as our two growth projects come online, the Sabodala-Massawa BIOX expansion and Lafigué. We could look to divest one or both of these mines to maintain the quality of our portfolio. And through that also decrease our -- increase our geographic diversification. The last point was -- I'm not sure I recall what was the last point, Raj?
Raj Ray: It was around the process that you ran for Karma, and then potential interested parties or assets in Burkina.
Sebastien De Montessus: Yes, sure. So, we've been, in fact, approached by a number of parties for one or the other asset over the recent months. And so, despite the headline on security issues on some areas in the country, I mean those assets are solid assets which are producing. They've never had any security issues, they've never been interrupted. So, there are number of parties which are interested in gaining production, usually either junior companies, but also we've got growing interest from local companies and local entrepreneurs which are interested in investing further in their country. So, we haven't decided, I mean, to move forward at this stage, but we're flagging that those two assets are becoming progressively non-core to the rest of the portfolio. And therefore we would anticipate that as the two new projects are coming up online, in '24, we might be accelerating the divestment of one or two of those assets in the coming months as -- 
Raj Ray: Thanks very much, Sebastien. That's it for me. I'll get back in the queue.
Operator: Thank you. And the next question comes from the line of Ovais Habib from Scotia Bank. Your line is open. Please ask your question.
Ovais Habib: Thanks, operator. Hi, Sebastien and Endeavour team. Just a quick couple of questions from me, number one, the first regarding the reserve replacement. As Mark pointed out, I mean there was a decrease in reserves by a million ounces year-over-year. Sebastien, and maybe you can give us a bit of color and then maybe pass it on to Mark. But is this just a function of drilling where you saw that you added 3 million ounces in M&I last year, so will we see some more input drilling take place in 2023 to bring the majority of these resources into reserves? I also notice that you have not changed your gold price assumptions year-over-year, so that was just being conservative on your end as well, so that was great to see.
Sebastien De Montessus: Thanks, Ovais. Yes, I think you're right. And as I mentioned to Raj, in fact the way to look at the numbers is, pleased to see the reserve and resources update this year because what you don't see in the headline number is, obviously, that the team added 3 million ounces of M&I discoveries this year, mainly at Tanda-Iguela, but also at Ity and [indiscernible], while only depletion reserves and resource by 1.6 million ounces. The additional delta which represent about 1.4 million ounces is, as I mentioned to Raj, is mostly due to more conservative cost assumptions in our resource and reserve model, and in particular specifically to those two assets that we discussed, Boungou and Wahgnion. Overall, I mean we continue to be extremely encouraged by the results at Sabodala-Massawa and at Ity, if I take those two. But as well as the Tanda-Iguela where we are accelerating on the basis of our '22 results, with the aim of delineating and updating resources in H2 this year. So, yes, I mean, overall pretty confident, happy with where we are. And as I said, we're not any more a small junior company, so we want to make sure that there is no surprises as we produce [those onset] (ph) in the future, and adjusting some of the cost just allows to have a bit more predictability and no surprises.
Ovais Habib: Thanks. And just moving on to my second question, and that's just with this M&A environment where we've seen couple of transactions take place. I mean, Sebastien, Endeavour is pretty much in a great organic growth situation where you've got several other expansions, you've got Lafigué construction going on, Tanda-Iguela seems to be looking like it might be Endeavour's next project after Lafigué. Based on this pipeline, are you still interested in M&A, looking at M&A, any thought and color on that?
Sebastien De Montessus: Sure. I probably need to think about a strong punch line for you, Ovais. But on M&A, I think we are in a good spot right now. We don't feel pressure, I mean, to need to do M&A because given the strong organic growth pipeline that you know the big focus right now is really on building Lafigué and expanding Sabodala-Massawa. And after this, I mean we're quite excited by the prospective of Tanda-Iguela. I would say that it's difficult for us to justify buying a project in the middle of nowhere and paying over $1 billion for 3-4 million ounces as some peers have done recently, when we are capable of discovering over 3 million ounces greenfield properties, such as Tanda, directly in our backyard. So, in terms of adding production through M&A, the asset that fit our portfolio criteria are not really available or at least difficult to find and fit within larger companies. So, we first need to see what strategic direction some of those companies are going to take. And on the wake of discussion between Newcrest and Newmont, and all that, I'm sure that being on the sideline and prepared if some of those assets that would fit in our portfolio comes out in the market then we'll be prepared for it. So, we just need to keep doing what we are doing to increase our portfolio quality and be ready to evaluate new opportunities if they come. I usually -- so, I take the opportunity; usually have the question around what about outside West Africa. I think it's important to reemphasize that we have a strong competitive advantage in West Africa, and therefore it's probably our priority to continue to grow in this region. It would take significant convincing to expand outside of this area.
Ovais Habib: Good [talk] (ph) there. Thanks, Sebastien, that's it for me.
Sebastien De Montessus: Thanks, Ovais.
Operator: And the next question comes from the line of Amos Fletcher from Barclays. Your line is open. Please ask your question.
Amos Fletcher: Yes, good afternoon, guys. Just a couple of questions, I just wanted to ask on the cost side. Obviously, you did a great job on costs last year. I was just struck by one of the charts in the appendix, on page 51, just looking at the movement in oil price country relative to Brent. Is the way to read that that inflationary effects will potentially lag on the way down as they lagged on the way up?
Sebastien De Montessus: Thanks, Amos. I think it's a fair point and a fair question. We always felt that because there was some -- a bit of lag at the start in West Africa, given that fuel prices are controlled by government, we should see the same way a bit of lag in the decrease of fuel prices. So, initial sources, that we should start to see, I mean, the decrease in fuel prices more towards H2 than H1. But saying that, we saw that -- we checked, last week, for example, Burkina Faso was still flat in terms of price. But in Cote d'Ivoire, for example, LFO was down already 3%. And in Senegal, HFO were already down 9%, although LFO was still slightly increasing. So, we're starting to see that coming in. And I would expect that this would all normalize back to reasonable numbers compared to what we've seen last year on the back of the end of H1, beginning of H2.
Amos Fletcher: Thanks. And then, I just wanted to ask as well just around your expectations or assumptions for underlying the cost guidance for '23, particularly what you're budgeting in terms of Euro-dollar FX rates and oil prices are?
Sebastien De Montessus: So, on the Euro-dollar, which is somehow linked directly to the [indiscernible], and we've got about 60% of our cost which are in local currency, so back to the Euro. We've been using around 1.05-1.06, which is about current price for the euro-dollar parity, so that's what we've used for the budget for this year. And the fuel prices, we've been conservative using last year numbers, so hopefully benefiting a bit towards the second-half of the year some improvement versus our budget.
Amos Fletcher: Great, thank you.
Operator: Thank you. And the next question comes from the line of Daniel Major from UBS. Your line is open. Please ask your question.
Daniel Major: Hi, guys. Thanks for the questions. Two questions, if I may. The first on the reserve and resource bridge, you maintain $1,300 an ounce reserves at your core assets, still pretty conservative against some of the movies to raise prices we've seen across the industry. Can you give us any sense of the sensitivity to that reserve number if you were to rebase that number higher, just to give us a sense of the pressure of costs that haven't been offset by any lifts in the long-term price assumption? That's the first question.
Sebastien De Montessus: Sure, thanks, Dan. I would say that, as you pointed out, I mean on the all the core assets, we haven't changed the gold price assumption of $1,300. Given our strong and the way the reserves are built and the deposits, those assets are not too influenced by the gold price. So, I mean, obviously, if were doing at $1,500 we would increase resources and reserves, but it won't be 50% increase. The ones which are sensitive, and I mean to gold prices, obviously the smaller assets and with shorter mine line, like Boungou and Wahgnion, which reflects why we had a different approach and why we took some conservative impairment on those two assets given the environment.
Daniel Major: Okay, thanks. And then, second question, just wondered if you could comment on the news flow earlier, a few weeks ago, with respect to selling gold directly in Burkina, and whether that would have any implications on working capital in the first quarter, and just a bit of background on that news flow, please?
Sebastien De Montessus: Sure. So, no working capital implication anticipated. If we go back a bit on the environment there and the practices, it's been, in the past, common practice for central banks, including the West African Central Bank to occasionally buy quantities of gold directly from gold miners in the region. I think, historically, a good example of that has been Newmont who has sold sometimes up to 20% of their gold to the Bank of Ghana. This is usually done for central banks and government to be able to access easily some foreign currencies. In Burkina Faso, specifically, within the mining code the government can purchase gold, but based on mutually agreeable terms from mining companies. So, the government had asked us if we could arrange, by two weeks ago, to sell about 6,000 ounce at market price to them, and it was sold at market price to them. And it was paid a few days later by the government. And this was again to help them with foreign exchange issues. Overall, the ECOWAS region, the central bank for the region had their currency reserve down 20% or 22% at the end of '22 probably on the back of COVID environment. So, we were not surprised with this ask. And as long as this is done properly through proper contractual agreements and based on commercial terms, then we don't have a problem with that. We were in the process, in fact, of finalizing this transaction when there was a misleading article that leaked on Bloomberg, on 15 of Feb, stating that the government had taken our gold, which was obviously untrue. And we were simply in the process of finalizing the sale agreement, and this you probably saw with the government announced the decree just after clarifying the situation and reassuring investors on the following day based on unfounded rumors. So, yes, again not something which is unusual in West Africa, and I think overall in emerging countries. Remains, I mean, small quantities, done completely at market and without any particular impact on working capital.
Daniel Major: Okay, great, thanks. And maybe if I could just squeeze one more in, what are the next catalysts and news flow we should be expecting around Tanda-Iguela in terms of either updates on drilling or timeline, what should we be expecting in the balance of the year?
Sebastien De Montessus: Sure. So, we've got a further campaign I mean that started at the end of last year and we'll go through the dry season. So, this will go until probably May, we'll get them further results that we'll be able to interpret during the summer. And on the basis of that, we'll be launching a second wave of drilling between September and year-end. In total, we're expecting to do about 70,000 to 80,000 meters of drilling, which are planned and with two type of drilling and Jono maybe you want to comment, but first delineating and on the other side, being able to do some step out to be able to assess the real potential. What we want is to be in a position to communicate again on Tanda-Iguela resources, sometimes in H2, with having a better sense of how massive the deposit is, so that in '24 we can start looking at the PA and sizing a bit, things in particular on the processing side. But Jono, do you want to make a few comments and share your enthusiasm?
Jono Lawrence: Thanks, absolutely. So, what we're looking at is the structure that Tanda is sitting on goes for at least 15 kilometers what we're seeing in the data sets and part of our exploration budget, we're allocating about 20,000 meters to explore the extent of that structure, to have more indications of good thick minimization like we're seeing at Assafou. Add to that, we've got two kilometers to the Southwest, another similar structure parlor and then we've got another one about five kilometers to the Northeast, similar orientation on the other side of the volcanic, more structures where we have done no work. We're doing some mapping now to evaluate it and there could be other targets that we will develop out of that, on top of the ten that we have now, based on the geochemistry that we have, we've kicked off a lot of geophysical data studies, IP, magnetics gravity to help delineate that to go with surface geochemistry as well as mapping in the area supporting our two pronged approach at the moment, resource conversion and delineation on the existing orebody plus step outs and exploration to grow it.
Daniel Major: Great. Thanks, guys.
Operator: Thank you. Now we're going to take our next question and the next question comes from the line of Wayne Lam from RBC. Your line is open. Please ask your question.
Wayne Lam: Yes, thanks guys. Just wondering if you might be able to provide a bit more detail on the change in mining method at Mana, are there certain lessons you've learned over the past year in terms of controlling dilution and is there a difference between Wona and Siou and maybe are there any potential optimizations that you've seen as you've ramped up the underground?
Sebastien De Montessus: Sure. Thanks Wayne. Mark, maybe you want to comment.
Mark Morcombe: The mining method due to the thickness of the orebody is a transverse method where you have primary stopes and secondary stopes. The primary stopes are cement filled so that you can access and mine the secondary stopes. The orebody at Wona is a bit thinner. The initial assumptions that we were using was looking at a like a cement, rock filled or paste field system so that we could get a lot higher extraction. What we're going with early on is an openstoping method whereby you use the pillars to remain keep the stope stable. So, what you do there is you do decrease the percentage recovery of the orebody, as time progresses though, we will look again at using a backfill system whereby we can increase the overall extraction.
Wayne Lam: Okay, great, thanks. And then, maybe just on Mana as well. What proportion of the larger Mana resources open pit versus underground? And do you anticipate being able to sustain the costs kind of below that $1,000 announced level long-term and extend the mine life to keep it within the magic box or could it be considered non-core at some point?
Sebastien De Montessus: So I think that on Mana, in our view today is that we are in a transition phase where we've been able to first do a turnaround. I mean, of the asset given where it was when we took it over from SEMAFO, and in particular migrating the one open pit to one underground where we have seen good potential to maintain strong production over the next four or five years between the two underground mine, which is giving at the same time, time for Jono and his team to be able to review the exploration potential on which we're pretty excited about. So, we hope to be able to come back with some good news on exploration in '24, following some of the drillings that we will be doing this year. After a thorough review of all the area over the last 18 months, two years, which in turn will give time I mean to potentially bring those new targets into production to fit the mill in four or five years time. So, at this stage, we consider Mana as a core asset, given the potential we see and we'll see over the next two or three years what the exploration program will give us.
Wayne Lam: Okay, great. Thank you. And then, maybe just last one. Just curious at Boungou, in an ideal world, if the security situation improved dramatically and you were able to drill outside that perimeter, would you potentially see a path forward to kind of recovering that value and keeping that within the portfolio or have you kind of made a decision either way in terms of it being non-core to the asset base?
Sebastien De Montessus: It's a good point. I mean, the frustration is that we do see a lot of potential at Boungou, but given the environment, we haven't been able to materialize this upside that we see beyond the fence, although we're starting a new nearby, I mean drilling campaigns. So, I think it's just going to be a question of timing. Let's see what the next 12 months is going to how the situation is going to evolve. And obviously if the situation dramatically improves, then it opens up a lot of opportunities to grow the resource there and change the environment and the parameters. If not, at least we took a conservative approach today to ensure that we don't get caught by timing in 12 months or 24 months time.
Wayne Lam: Okay, great. Thanks for answering my questions and best of luck in the year ahead.
Sebastien De Montessus: Thank you very much, Wayne.
Operator: Thank you. Now we're going to take our next question and the next question comes from the line of Don DeMarco from NBF. Your line is open. Please ask your question.
Don DeMarco: Good morning. Good afternoon everyone, and Sebastien, Mark and team. So, first question. With a strong balance sheet and free cash flow outlook, particularly post the Sabodala-Massawa expansion and the feed rate development, are you guys thinking about going to a quarterly dividend payment instead of the current semiannual?
Sebastien De Montessus: Hey, Don. Look, I think that the practice, I would say in the U.K. is more towards semiannual. So, what we can say is that following a successful commissioning and ramp-up of the two projects in '24, given the strong balance sheet, we would potentially expect to continue to increase our return shareholder policy. And that's probably something that we will work on. Looking at a quarterly, I don't think so. I think we'll stick to twice a year in semiannual dividends.
Don DeMarco: Okay, next question regarding Wahgnion and Boungou, are you maintaining the 2023 cost and production guidance that was issued in January after the recent impairment test results that were included in Q4?
Sebastien De Montessus: Yes, I mean completely. And there's no changes I mean to the guidance either for the group or for those assets, this was taken into account when we set the budget and the guidance for the year.
Don DeMarco: Okay, perfect. And I think that with Wahgnion in particular, the guidance implies a bit of a cost reduction in Q1 versus Q3 and Q4, is that what we should expect?
Sebastien De Montessus: Yes, completely.
Don DeMarco: Okay, and final question, looking at your growth Capex guidance for 2022, you were a bit below what the guidance level was, and that level has bumped up in Q3 after you launched the feed rate development. Was there anything that changed in Q4 versus your expected pace of spend per the guidance?
Sebastien De Montessus: No, in reality, Don, it's really timing and timing of cash out. So, always complicated I mean to forecast I mean the exact dates I mean for some cash outs, more easier I mean to look at the commitments, but then you can have some slippage between one month to the next one and can be big item tickets, which have an impact, therefore on the cash out from one month or one quarter to the other. So, no particular changes on that front. And I think that at least the numbers that we have again for this year seems to be consistent with the progress we've done so far. But we'll be monitoring, I think on the overall on the projects, we're pretty happy with the progress we've made so far, still on track. We don't see any impact on the total budget for both projects. We've got close to 60% of the Sabodala-Massawa expansion, which is committed about a third, I mean getting to close to a third for Lafigué. So, yes, I mean, very, very happy so far with the progress made.
Don DeMarco: Perfect. And so, with that, you're going to stay with the $400 million growth CapEx guidance that was reported in January?
Sebastien De Montessus: Yes, completely.
Don DeMarco: Okay, thanks again and good luck with the rest of the year and continued development of both these projects. That's all for me.
Sebastien De Montessus: Thanks, Don.
Operator: Thank you. Now we're going to take our next question. And the next question comes from the line of Harmen Puri from Bank of America. Your line is open. Please ask your question.
Harmen Puri: Hi, thank you. Good morning. My question is sort of just a follow-up from Don's question just earlier, I think the dividend framework that's in place right now kind of covers things off until, I think 2023 and if we look at 2024 and beyond, do you think the dividend policy will take sort of the same shape, so just have minimum thresholds or might you look to sort of revise this a little bit, given all the free cash flow that you're going to be generating and sort of the years ahead?
Sebastien De Montessus: Sure. Thanks, Harmen. I think as we mentioned earlier, the objective in 2023 is to be minimum in line with what we did in '22, which is a total return for shareholder of about $300 million, between $200 million of dividends and about $100 million of CapEx sorry of buybacks. And for '24, as we will be entering into, again, strong cash flow mode with the commissioning of our two key projects, we anticipate that we'll come back to the market probably later this year, beginning of next year to outline the return policy going forward. That should be, again an increased policy as we get into a stronger and stronger balance sheet environment and also stronger cash flow. So, growing return policy, that's what we're aiming at.
Harmen Puri: Thank you. That's it for me.
Operator: Thank you. Now we're going to take our next question. Please stand by. And the next question comes from the line of Richard Hatch from Berenberg. Your line is open. Please ask your question.
Richard Hatch: Yes, thanks. Thanks Sebastien and team. Thanks for the call. That reminds me more broadly on Burkina, and I wonder if you can just sort of give us a bit more of a flavor and a color of the situation in the country, investors I've spoken to have been a bit more concerned about it of late. Obviously, the headlines you pointed to have been unhelpful but seem to be moderately baseless. Operations seem to be operating stably and without interruption, but it'd be good just to get your kind of color on what's going on in the ground, how you're kind of seeing the political and social situation and any color that you think might just ease investors minds? Thanks.
Sebastien De Montessus: Sure, thanks, Richard. And fully understand, it's not necessarily easy I mean for investors looking at Burkina headlines to have a sense of what's going on underground. I think the best demonstration on how we feel is, for the time being, all our operations continue to operate in Burkina despite the geopolitical changes last year, and the security challenges that we see in the north and the east part of the country. But we haven't any security incidents around our mine site or to our mine sites, and it was no disruption since all those changes in Burkina. Maybe in terms of colors, in recent months, the President Traoré has increased efforts to combat terrorism, both increasing resources committed to military operation, but also increasing military operations on the ground. And we are starting to see in reality some of those effects despite the fact that we still have some pretty negative headlines from time to time. But maybe just to give one example, recently the military reach out to try to recruit new volunteers, and they were targeting 50,000 recruitments. And in fact they received 80,000 recruitments from volunteers who wants to basically go and fight in the north and the east to be able to stabilize the country and chase the terrorist groups. So, I think it just highlights the eagerness from the population to resolve that security situation and this report to the current government. In the past, it was probably too much relying on others, you know, to solve the problem, and it's been progressively conscious that the solution needs to come from inside Burkina by the Burkina bid themselves, and that's what is starting to move on. On the geopolitical side, I would say that it's been encouraging to see President, how hydrating his commitment to returning to democratic elections by mid '24, which is aligned with the [ECOWAS] (ph) requirements, and obviously which helps getting international support from Burkina's neighboring countries. And also reassuring that for the time being President Traoré was clear that he doesn't want to see the Wagner Group in Burkina.
Richard Hatch: Very helpful, thanks.
Operator: Thank you. And the next question comes from the line of Anita Soni from CIBC World Markets. Your line is open. Please ask your question.
Anita Soni: I think that was -- Anita Soni, CIBC. So, thank you. Good morning, Sebastien and team. And firstly, best of luck to Joanna and her future, and congratulations to Martino on his promotion. And I think a lot of the questions have been asked. So, the only one I wanted to elaborate on was, Sebastien, you talked about being prepared or ready for what could shakeout from a Newcrest and Newmont potential merger. And then you also talked about trying to -- it would take a lot of convincing to move out of the West African market. So, is it the Newmont's Ghana assets that you would be interested, and is it Newcrest Lihir which is largely the one that was rumored to be on the chopping block? Or could you give us a little bit more guidance on the jurisdictions that may interest you if there were some assets that were to shake loose from that?
Sebastien De Montessus: Sure. Thanks, Anita. I think I was not referring specifically to the Newmont assets as part of a Newmont-Newcrest potential combination, but more generally. I think that there's probably more consolidation coming. There are a number of companies where you could question whether the current portfolio they have is the right one going forward. There's been some -- a lot of questions around different companies' future between AngloGold, between Gold Field, between Kinross, between and others and others on whether they should continue to operate with the same portfolio or whether some of their assets which are probably closer to our backyards, as some point, would be for sale. So, as we said, we are lucky to have a nice organic growth pipeline, and the recent discovery -- on top of the two projects we're building, the recent discovery in Côte d'Ivoire shows that we're blessed to have this strong position in a very, very interesting jurisdictions where our exploration success is coming pretty often with good results. So, we just don't want to chase the acquisition of assets or projects just for the sake of being bigger. It's just for us a question of improving the quality of our portfolio. For the time being, we are able to do it through organic growth. And if one of the assets that we feel could match our portfolio is coming to the market, then for sure we'll be looking at it.
Anita Soni: Okay. And then just in terms of size, is there -- I mean, would you be considering joint ventures where necessary if assets were maybe perhaps a little bit too large or is there -- are there particular parameters on the amount of dilution that you would consider or certain market cap size relative to your market cap?
Sebastien De Montessus: I think it's really down to a case-by-case. I think that in terms of size of single asset, were more and more focusing on 250,000 ounce, 300,000 ounce minimum production and above 10 years mine life, and lower all-in sustaining cost. If AngloGold was prepared to sell their 50% of Kibali, obviously we would compromise by doing a joint venture with Barrick. But otherwise, more than happy to be able to acquire assets that fits into that portfolio.
Anita Soni: Okay, thank you. I'll leave it there.
Sebastien De Montessus: Thanks, Anita.
Operator: Thank you. That will conclude today's Q&A session. I would now like to turn the call back to Martino De Ciccio for any closing remarks.
Martino De Ciccio: Thank you, everyone, for logging into the webcast. We will, of course, remain available for follow-up questions. Thank you, and have a good day.
Operator: And that will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.